Operator: Good day and welcome to this Marriott International second quarter 2007 earnings conference call. Today’s call is being recorded. At this time for opening remarks and introductions, I would like to turn the call over to the Executive Vice President, Chief Financial Officer, and President of Continental European Lodging, Mr. Arne Sorenson. Please go ahead, sir.
Arne M. Sorenson: Thank you, Jimmy. Good morning, everyone. Welcome to our second quarter 2007 earnings conference call. Joining me today are Laura Paugh, Senior Vice President of Investor Relations; Donna Blackman, Vice President of Investor Relations, and Carl Berquist, Executive Vice President, Financial Information and Enterprise Risk Management. Before I get into the discussion of our results, let me remind everyone that many of our comments today are not historical facts and are considered forward-looking statements under federal securities laws. These statements are subject to numerous risks and uncertainties as described in our SEC filings, which could cause future results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the press release that we issued earlier this morning, along with our comments today, are effective only today, July 12, 2007, and will not be updated as actual events unfold. You can find a reconciliation of non-GAAP financial measures referred to in our remarks at our website at www.marriott.com/investor. Now, on to the quarter. We continued our impressive performance in the second quarter. Adjusted earnings per share totaled $0.57, up 36% over the same quarter last year, excluding the impact of our synthetic fuel business and the one-time charge for the employee stock ownership plan settlement. Compared to the midpoint of our guidance, we outperformed by about $0.04, excluding our synthetic fuel business and the ESOP settlement. Roughly $0.01 was due to incentive fees calculated on prior periods results but earned and due in the second quarter of this year; our timeshare segment contributed about $0.02, reflecting the favorable timing of sales recognition and a higher-than-expected mortgage note sales gain; and about $0.01 came from our owned, leased and other income line, in part due to strong performance at our new Ritz-Carlton hotel in Tokyo.
Operator: (Operator Instructions) We’ll take our first question from Felicia Hendrix with Lehman Brothers.
Felicia Kantor Hendrix - Lehman Brothers: Good morning. Glad to see your ability to give us quotes hasn’t been stifled.
Arne M. Sorenson: But no joke.
Felicia Kantor Hendrix - Lehman Brothers: No joke. I just have a few quick questions for you. First question a bit bigger picture; given your international exposure, the strength that you are seeing there, I’m wondering why you are not also providing or you haven’t moved to also providing us with either worldwide REVPAR guidance or maybe just international REVPAR guidance.
Arne M. Sorenson: You are talking about guidance for Q3 and Q4 really?
Felicia Kantor Hendrix - Lehman Brothers: Yes, just going forward.
Arne M. Sorenson: We have -- it’s probably a fair question and I think to be fair, we’ve probably not been entirely consistent about whether we give worldwide guidance or not. You can tell from this year’s or this quarter’s numbers, there’s often a significant impact on exchange as well as core local performance, which makes it a little bit harder to forecast but it’s something I think we should look at and we’ll probably do more on as we go forward as it gets to be a bigger part of our business.
Felicia Kantor Hendrix - Lehman Brothers: And then, I was wondering if you could just touch upon the weakness in the group sector in group segment you saw in the quarter.
Arne M. Sorenson: It’s an instant dynamic and it’s probably the only point of real weakness that we saw in the second quarter, though it’s relative. It was really focused on group business booked in the quarter for the quarter, less on group business already on the books. Group business on the books showed up, performed well at the hotels, came if anything at the high side of their expected size, spent well on S&B. When we look at the data about what happened in the quarter for the quarter, it looks like it’s more driven by a few markets than it is an indication of any sort of weakness overall. Orlando, Atlanta, D.C. tended to be among those that seemed to have fewer city-wise, therefore a weaker group business generally. Obviously one of the things we looked at hard was whether or not that group performance in the second quarter ought to give us any particular pause about our future expectations. We take great comfort from the group business on the books for Q4 and 2008 particularly and view those as a better indication of the underlying strength of the group demand.
Felicia Kantor Hendrix - Lehman Brothers: Great, and just finally, you’ve obviously given us guidance for total fee revenues. I’m wondering if you can give us a feel for what incentive fees might look like in the third quarter and fourth quarter.
Arne M. Sorenson: You know, I don’t have that in front of me. I think probably the right thing to do would be to back out the -- I’ll say that differently. Probably base management fees and franchise fees, given our REVPAR expectations, would be growing in the 10% to 11% range. You have to do the math to figure out what that leaves for incentive fee. That will get you close.
Felicia Kantor Hendrix - Lehman Brothers: Okay, that’s great. Thanks so much.
Operator: Joe Greff with Bear Stearns has our next question.
Joseph R. Greff - Bear Stearns: Good morning. Kind of a qualitative question; how much more do you have to go do you think, or how much more margin improvement is there on the limited service side? Obviously with this HPPAR, the result there have been -- and it’s very strong, probably more strong than the full service side and I guess the limited service hotels are catching up. I guess what inning do you think you are in in terms of improving the house profit margins along the service side?
Arne M. Sorenson: It’s in our DNA here to say it’s never good enough, and so I don’t think there will be a time when we say we’re done on margins. I think one of the reasons the limited service margins perform so well relative to fairly modest REVPAR growth was they are a little bit behind where our full service hotels are in terms of the toolkits and the productivity and the profitability enhancements that we’ve been rolling out over the next year or two. But as your question would imply, it’s going to get harder to have dramatically out-sized margin performance and it will be a bit more driven by REVPAR and how much that REVPAR comes from rate. But w expect we’ll continue to see over the next few years positive margin performance, probably not as dramatic as what we’ve seen over the last couple.
Joseph R. Greff - Bear Stearns: And then one more question -- can you just remind us, one percentage change in REVPAR equals what change in fees?
Arne M. Sorenson: We think it’s about $20 million full year, all fee categories. Pretax, obviously.
Joseph R. Greff - Bear Stearns: Great. Thank you.
Operator: Our next question will come from Harry Curtis with J. P. Morgan.
Harry Curtis - J. P. Morgan: Two quick questions; a follow-up on Felicia’s question with respect to worldwide REVPAR, it’s been running around 100 basis points ahead of North America. Is it likely to continue on that trend?
Arne M. Sorenson: We generally have the same expectations for relatively stronger performance internationally than we’ve seen domestically. You’ve got in the third quarter the World Cup comp. We’ve got fairly good distribution in Germany, so that will temper the third quarter numbers to some extent. But beyond that, we’d expect to continue to see a relatively stronger performance internationally.
Harry Curtis - J. P. Morgan: So overall, if the blended rate is somewhere around 7% in the back-half of the year in North America then somewhere around 8 is a reasonable number?
Arne M. Sorenson: That should be about ballpark, yes.
Harry Curtis - J. P. Morgan: Okay, that’s pretty good. The other question is related to the prior period catch-ups in your incentive management fees. The sense I’m getting is that there’s some impression out there that these are non-recurring, but what’s interesting is that in three of the last six quarters, they’ve recurred. I’m wondering if you could describe them and give us a sense of your view as to whether or not they are recurring or should we be thinking of them as kind of one-time items and not giving you credit for it?
Arne M. Sorenson: It sounds a lot like the question we asked internally at the budget table yesterday. It is -- I think the better way to think about them is they are mostly non-recurring. It’s obviously -- we’ve got a big portfolio of hotels. The incentive fees are important to us. They are the part of our fee stream which is least standard in terms of their formulas. In the second quarter, the $15 million that we talked about in our prepared remarks really were two transactions driven by portfolios trading hands as opposed to the profitability change in those hotels during the quarter. One of them we had anticipated and built into our guidance, which is why you heard us say only about $0.01 of our out-performance was based on incentive fee performance. Those $15 million, because we really can’t forecast portfolios trading hands with any reliability at all, the best thing to do is think about it as really being non-recurring. Having said that, we’re hopeful that there will always be a few bits of upside in incentive fee performance, particularly as business strengthens going forward.
Harry Curtis - J. P. Morgan: And then last question, if you could give us a sense of what percentage of your portfolio is generating a management fee?
Arne M. Sorenson: In the quarter, I think 63% compared to 58% last year.
Harry Curtis - J. P. Morgan: Very good. Thank you.
Operator: Next we’ll hear from William Truelove with UBS.
William Truelove - UBS: Good quarter. I have a couple of questions. First, how much of your earnings now on a full-year basis, not just second quarter, are coming from international exposure at this point?
Arne M. Sorenson: 25 to high 20s, probably something like that.
William Truelove - UBS: That’s mostly on the fee side, right? Not on the owned?
Arne M. Sorenson: Yes, it’s both but it’s -- overwhelmingly it’s fees, not owned and leased.
William Truelove - UBS: Second question is on the timeshare side -- could you just go over with us again the issues with -- is it just a timing factor or are there any kind of underlying trends in timeshare that you are seeing that have been different in the past few years? What is your outlook for the demand side on the timeshare front?
Arne M. Sorenson: It’s mostly quite reassuring. The biggest trends that we’ve seen in timeshare, remember our timeshare business includes three distinct kinds of products. One is the traditional one-week classic timeshare product for vacation alternative, and you’ve got fractional, usually Ritz-Carlton, usually three to four weeks and it begins to look like a second home alternative. And then we’ve got some projects that have whole residential, which are obviously residential markets overwhelmingly second-home focused, obviously. Different dynamics across the three. The timeshare demand seems to be very solid. The percentage of buyers who finance with us has gone up meaningfully in the last couple of years. We suspect that’s driven in part by a relative reduction in home refinancings, which would be an alternative for many of those buyers to finance their purchase of timeshare units. We obviously watch that very carefully and make sure that that increase in propensity to finance is not an indication of a weaker borrower, and as you could hear from our prepared remarks default rates are down, credit scores are up and so we are pretty reassured that actually that’s a very good trend, because that’s a profitable piece of the business for us. The fractional demand has been quite strong but when you look at both fractional and residential, we don’t have that many projects where we are in sales today. We’ve got a few in our pipeline and I think one of the other trends that we’ve seen generally across the business is it is taking longer to get construction projects going and to get into sales. It is probably the biggest reason that we are moving from a 5%-ish -- moving to about a 5%-ish contract sales growth compared to last year from where we were before, which was 5 to 10. Those are the major trends.
William Truelove - UBS: I know you mentioned about the third quarter year-over-year comparison in I think it was timeshare. What exactly was that again? Could you remind us?
Arne M. Sorenson: We had a reserve in place on some sales and marketing expenses that became unnecessary in the third quarter of 2006 for the time share business.
William Truelove - UBS: The amount was?
Arne M. Sorenson: That was $15 million.
Carl T. Berquist: And it was disclosed at the time.
William Truelove - UBS: I’m sure it was. I just forgot it. Sorry. Thanks.
Operator: We’ll take our next question from Celeste Brown with Morgan Stanley.
Celeste Mellet Brown - Morgan Stanley: Good morning. Is it safe to say that this firming up of the full service transient business increases your confidence in the ability to see sort of the progression you’ve talked about, sort of the back-end loading of the year?
Arne M. Sorenson: It is comforting to us -- transient business on the books looks pretty good here over the next few weeks, but probably more important than that would be the group business. Remember, the transient business is a fairly good indicator when you look out over the next week or two but most of that transient business is coming in pretty shortly before the customer shows up in the hotel. So as you get even a month or two out, the transient bookings on the books are not very reliable. But you know, very encouraging at the moment.
Celeste Mellet Brown - Morgan Stanley: Why do you think they firmed up in the second quarter versus the first?
Arne M. Sorenson: I think economic activity generally among business travelers was strong. It’s not anymore complicated than that, so they were on the road. I think the leisure business also is relatively strong. I think people looked at the consumer a lot with some bits of anxiety but the consumer is performing pretty well at our business. That’s obviously less significant than the business traveler though.
Celeste Mellet Brown - Morgan Stanley: Are we done now with Katrina, with Katrina comps? Is this the last quarter we’re going to see pressure there?
Arne M. Sorenson: You’re asking whether we pledge never to refer to Katrina again?
Celeste Mellet Brown - Morgan Stanley: Yes.
Arne M. Sorenson: We think it’s mostly behind us. There could be a little bit of a tail in a couple of markets but by and large, we think we’re beyond that.
Celeste Mellet Brown - Morgan Stanley: Okay, and then finally in Hawaii, I know that the first quarter was tough as there was a lot of the Japanese business went away. Were you able to replace that with other business and that’s what drove your strong REVPAR growth in the quarter?
Arne M. Sorenson: Generally, yes. Westbound business.
Celeste Mellet Brown - Morgan Stanley: Thank you.
Operator: The next question will come from Jeffrey Donnelly with Wachovia Securities.
Jeffrey J. Donnelly - Wachovia Securities: Good morning. I guess to start off, I’d be interested in your take on the Hilton transaction, specifically do you think the change in ownership there could bring a more aggressive operating style? Is that a positive catalyst for rate growth maybe, or perhaps increased competition from management and franchise contract?
Arne M. Sorenson: Let me stand back a little bit and answer a little bit more broadly, if I can. We’ve had questions from a bunch of you over the last week, I guess, week and a day or two, about that transaction specifically and what it means for Marriott. With our board, probably for at least a year, five or six quarters, I would guess, we’ve been watching the private equity phenomenon and talking with them about what we saw as a likely transaction like this one. Our focus in our discussions with the board has really been around the competitive impact, trying to see around the corner, if you will. In other words, what does it mean if one of our competitors is owned by a private equity for the kind of competition we have on a day-to-day basis for hotel and timeshare customers, what does it mean for the competition we have on a day-to-day basis for owners and franchisees? We think there are probably positives and negatives in both of those areas, but when we think about what’s most fundamental, which is attractiveness of product and the service equation to our customer, we feel pretty good about the lead that we have today and about that lead continuing to expand in the face of transactions like this one. We’ve also talked about what does it mean for Marriott as a seller or a buyer from transactions like this one. Obviously we are not going to speculate or comment about that until there is any reason to. But that’s generally our -- I guess our comment about this whole area.
Jeffrey J. Donnelly - Wachovia Securities: Thanks, and then, if I could, two quarters in a row you guys have fallen a little shy of your REVPAR forecast for North America. I’m not interested in necessarily what’s driving REVPAR, but what specifically is leading to that disconnect between your forecast and actual results and what are you guys doing to correct that?
Arne M. Sorenson: I think in Q2, and this is repetitive, I suspect, but the difference between our 5, 6 reported actually North American REVPAR number and the lower end of the 6 to 8 -- we’ll call it 5, 6 and 6 -- is by and large driven by relatively weaker performance in the limited service portfolio. That was offset to some extent by relatively greater strength in -- let me do the second point -- in relatively weaker group business in full service hotels. That second was offset meaningfully by a bit stronger transient business than we thought we’d achieve. So when you look at the full service REVPAR numbers, we are about where we thought we’d be a quarter ago when we gave you guidance. But because that transient business is less likely to drive compression in some of those big markets, it was less capable of pushing business into some of the limited service hotels which are in nearby markets. And as a consequence, those benefited less than they would have had there been more group business on the books. What are we doing about it? I wish we could be perfect with our forecast. We can’t. We won’t be. Our approach historically has been to be pretty fulsome in the disclosure we give you and to tell you exactly what we are thinking internally and that’s what we did a quarter ago. We came in a couple of points shy in North America. We were relatively stronger globally probably than we thought we would be and feel great about the way that generated fees, essentially exactly in line with the guidance that we gave you before. We can’t tell you that we’re going to be right on every one of the assumptions that goes into the financial guidance that we are giving you every quarter, as much as we will continue to try to be.
Jeffrey J. Donnelly - Wachovia Securities: Last question, just anecdotally; I’ve been hearing from general managers that Marriott is I guess call it testing or right-sizing staffing at the Marriott Hotels. Can you talk a little bit about that program maybe and maybe where you are at in that process?
Arne M. Sorenson: We’re well along on that process and it is -- it’s really -- it’s not very complicated. Obviously we’ve got a lot of hotels out there that are in our system, both run by us and in many instances run by our partners, who are franchisees. So we have a lot of opportunities to experiment with staffing models and not just staffing models but other tools that we are using to run these hotels. There are lots of things that we found as opportunities. Mostly overwhelmingly we found those opportunities in our system where hotels we had and we were running were engaging in some best practices that we thought we could roll around. Many of those have very, very small impacts but collectively they’ve been pretty significant. I think in terms of staffing, one thing I would say on a generic basis is we tended to find that when we got to medium to smaller full service hotels, so think about that as full service hotels in the 250 to 350 room range, probably more suburban or secondary markets as opposed to the key global gateway cities in the United States, that if anything maybe we had borrowed a little bit too much from the full executive team and management staffing model of the big box group hotels and we found that probably wasn’t necessary in every one of those hotels, and that we could, without having any impact on the customer frontage and the customer service equation, that we could probably find some productivity opportunities there. That’s well underway. Most of those changes actually were made in the last year or two.
Jeffrey J. Donnelly - Wachovia Securities: Thanks.
Operator: Our next question will come from Bill Crow with Raymond James.
Bill Crow - Raymond James: Good morning. A couple of questions here. Just looking at the Smith travel data, it looks like mid-scale without food and beverage was up 6%, 6.5% in the second quarter. Your limited service data is obviously showing lower growth. Is that just because of the way we slice and dice the numbers, or is that reflective of your portfolio performing slightly worse than the overall industry? Any feedback there?
Arne M. Sorenson: I think the biggest factor here is relatively newer franchised and ramping hotels, and I referred to this a little bit in the prepared remarks but it is not intuitively obvious, I guess. When you look at our courtyard managed REVPAR versus franchised REVPAR, franchised REVPAR was about a point-and-a-half higher than managed REVPAR. When you look at Residence Inn, I think the franchise portfolio was about 1.9 points higher. The Smith travel numbers on mid-scale without food and beverage includes not just these brands but some of our competitors’ brands and where those portfolios are growing by adding new units, they get a significant benefit from hotels which are comp, technically, because they are in their second year or later of operation but they are still ramping up. So you take, for example, our Courtyard franchise portfolio, I think during the second quarter 12% or 13% maybe of those hotels had opened within the last three years. Hotels that had opened within the last three years, they could be comp but they were probably posting REVPAR growth in the 12% range, something like that. Residence Inn, I think it was probably more like high-teens of the percentage of the franchise portfolio was open within the last three years and they too were posting REVPAR growth in the low double-digit range. What that does when you look at the impact on the franchise portfolios, it significantly moved the average performance of the portfolio as a whole. When you look at the Courtyard managed and the Residence Inn managed portfolios, there is some growth. I think we’re maybe 2% or 3% or 4%, I suppose, growth versus in the same regard -- in other words, hotels opened in the last few years -- but dramatically lower percentage wise than the franchise portfolio. That’s delivered by us but it has the impact of depressing a little bit those aggregate numbers that we are reporting now.
Bill Crow - Raymond James: All right, fair enough. On the buy-back, you have reiterated the intent to buy back $1.5 billion worth of stock this year but you are two-thirds done for the year and the stock obviously has been an underperformer relative to peers and the broader market and I’m guessing where you anticipated it would be when you laid out the plan. Any sense that you might front-end load the three-year plan with buy-backs this year?
Arne M. Sorenson: Really nothing to say other than what we’ve said. I think the right assumptions for review going forward is $1.5 billion for this year.
Bill Crow - Raymond James: And then you’ve been outspoken in the past about where you think we are in the cycle and talked about extra innings and that sort of thing and a lot of people are starting to really doubt where we are and predicting the near-term end of the cycle. Can you just refresh us where you think we are, especially given your comments that you’re not seeing really any impact at the urban or the full service hotels in the U.S. from new supply?
Arne M. Sorenson: Let’s stand back for a second and establish how little we know, how little I know. The cycle is overwhelmingly going to be driven by demand characteristics as well as supply characteristics. Demand is driven by economic activity generally. Global travel, business travel, group business, and the single biggest factor in the length of this cycle is something that we have absolutely no expertise about and no more visibility than you do, and that is how is the economy going to perform, primarily in the United States but how it is going to perform in the rest of the world where we are performing well? When we look at that data today, we don’t see any reason to presume that we don’t have a years worth of demand growth going forward. But to be fair, we don’t know a lot about that. That’s unique and we’re relying on what economists say and what we are seeing in the short-term and those sorts of things. On the supply side, we see very little relevant full service supply growth. Given that that’s the case today and given how long it takes to build full service hotels, get them permitted, constructed, opened, stabilized, we think we’ve got a good number of years where the supply threat, if you will, on the full service supply is not terribly relevant. So when you put those two things together, it would tell you that we think we’ve got some years left of positive run. Now, you won’t hear us saying -- we obviously are not in this call providing forecast for next year or giving you our new three-year plan or any of those sorts of things, but to state the obvious we are not going to see a years worth of 8% to 10% REVPAR growth. One of the reasons we probably saw those great years in 2004, 5 and 6 was we were making up some of the ground we lost in 2001, 2 and 3 where we dropped dramatically from where we had performed previously. Those comparisons all get tougher generally and so we’ll see more modest REVPAR growth but it ought to still be a pretty good equation going forward. Limited service is going to be probably a little bit different. We’ll probably see more supply growth over the next year or two, percentage wise, than we will in the full service segments. That may mean that their REVPAR numbers are tempered a bit but ultimately that’s going to depend a lot on what happens to that older limited service suburban product. When you look at the Smith travel data on midscale with food and beverage, which in many respects means old midscale hotels, the size of that segment has been shrinking. We may see that that continues to shrink and the shrinkage accelerates as we see more of this new built, purposeful product coming out.
Carl T. Berquist: If I could add to that, recall that our incentive fees also are far more dependent on full-service trends than they are on limited service trends, and far more dependent on international as well.
Bill Crow - Raymond James: One final quick question on the timeshare and timeshare note sales, given the dynamics of the positive credit statistics, et cetera, and the yield that you could achieve by holding on to those notes in what is a still strong but decelerating fundamental environment for lodging, do you get tempted at some point to sell fewer of the notes and retain that interest income going forward?
Arne M. Sorenson: No, not really. Generally we’d like to sell all the notes that we can sell. There is a great market out there to buy this stuff. The yields to the buyers, which is in effect what we are giving up, what we would be giving up by not selling is a very modest spread over comparable risk-free government securities. There’s no reason for us to stay in that business.
Bill Crow - Raymond James: Thanks, guys.
Operator: We’ll take our next question from Will Marks with JMP Securities.
William Marks - JMP Securities: Good morning. A couple of quick questions. One is on the limited service versus full service, you mentioned how it breaks out a little bit in incentive fees. What about just your full fee structure? Is it two-thirds, one-third? The second question relates to you said you have board conversations about what happens when the competitors go private, how do these -- do you have board discussions about, given the weakness in your stock if you would be better off in a private structure? I know it is hard for you to comment on that but if you can give us any thoughts at all why you may be better public than private.
Arne M. Sorenson: On the first question, I would encourage you to look at the segment schedules in the press release, which will break down limited service, extended stay and full service, as well as international and luxury. That will give you some indication of how significant this is. By all means, give us a holler back if there is more you’d like from that. On the question about M&A styled -- I don’t really have much to add, other than what we said before, which is these are all subjects that we’ve discussed with our board. Beyond that, I don’t think there’s really anything that can be gained by musing more about this publicly.
William Marks - JMP Securities: Thank you.
Operator: We’ll take our next question from Jeff Randall with A. G. Edwards.
Jeffrey Randall - A. G. Edwards: Good morning. You guys changed the language slightly related to the number of room additions for ’07 from approximately 30,000 to nearly 30,000. I just wondered what’s behind the change posture. Are projects still moving more slowly through the pipeline and maybe more slowly due to just -- not just higher construction costs but higher interest rates?
Arne M. Sorenson: No, it’s construction pace, period. We continue to see the intake into the pipeline strengthen. We continue to feel really good about these hotels opening but everything seems to be taking a little longer to get completed. I shouldn’t say everything but enough projects seem to be taking a little bit longer to get completed that -- yes, you are perceptive to pick up that slight word difference. While we think we are going to be in the same ballpark, today we’re a bit less confident that we’ll actually ring the bell on the 30,000 number opened in 2007. We should be very, very close.
Jeffrey Randall - A. G. Edwards: Do you think developer sentiment has changed at all as a result of the higher interest rates, or do you think they are just essentially immune to that at this point?
Arne M. Sorenson: They are certainly not immune to it but we’ve not seen any negative impact on developer sentiment.
Jeffrey Randall - A. G. Edwards: Great, thanks.
Operator: Next we’ll take a question from Michael Millman with Soleil Securities.
Michael Millman - Soleil Securities: Thank you. That’s actually Soleil Securities. Regarding the timeshare, I think over time the growth has been some -- revenue growth has been double-digits for the industry. You’re talking about 5%. Can you give us some idea of what you think is underlying demand when you try to give some weight to what’s -- or take -- reduce the weight given to what you have available, what the building schedule is?
Arne M. Sorenson: I think I understand your question. If I don’t hit it, please come back and push us on it. The 5% forecast we talked about for contract sales this year, and that’s sort of the best measure that’s not overly influenced by fairly complicated accounting, is contract sales. Those are the real transactions that are happening in the year. Being up 5%, we think the 5% would be a significant understatement of non-inventory influence demand, if you will. You are right. The industry has seen revenue growth, contract sales growth in double-digits for 25 years or so, which is as long as we’ve been in the business since the early ’80’s. We continue to see great growth. We continue to see more and more interest in this internationally. We’re doing a bit in Asia. We have a time share resort in Phuket in Thailand. We’ve also got a points program that we’re selling out of Singapore to Asian customers with significant receptivity and feel really good about that. And we’re finding in the United States even in the most established markets, beachfront, Orlando, ski destinations, strong demand, demand that’s really capable of picking up and buying everything that we can find that works from a financial perspective. If anything, the challenge we’ve got is making sure we can grab the resorts and get them developed at economic terms that make sense for us. It is not the demand side of the equation.
Michael Millman - Soleil Securities: That would be true not only in the traditional timeshare but the fractional and residence, which might be more skewed to housing demand?
Arne M. Sorenson: Fractional would be quite a bit like the timeshare product in the sense of the comments I just raised. Residential is going to be much more like the general residential markets.
Michael Millman - Soleil Securities: Are you seeing any shifts in demographics? Are your marketing costs going up? What are you seeing in tour yields?
Arne M. Sorenson: Mostly positive there. Marketing expenses have probably come down a bit, like for like product. More technology, more economies of scale, broader acceptability of the product in many respects. The product continues to benefit from higher and higher levels of credibility going forward.
Michael Millman - Soleil Securities: Just to switch on the group business, why were you surprised by second quarter group business? Presumably the group business is on the books and shouldn’t change.
Arne M. Sorenson: It was really a little less group business booked in the quarter for the quarter than we would have thought when the quarter began. A lot of group business is on the books when the quarter begins but depending on the hotel, you’ve got a lot of groups. Tend to be smaller groups but still relatively significant business for the hotels that book short-term.
Michael Millman - Soleil Securities: Thank you.
Arne M. Sorenson: We’re going to take one more if you’ve got one, Jimmy, but otherwise we’re wrap it up here.
Operator: Actually, at this time, Mr. Sorenson, there are no further questions.
Arne M. Sorenson: All right, perfect. Thank you all very much. We appreciate your time this morning.